Operator: Greetings and welcome to the Brightcove Fourth Quarter and Fiscal Year 2020 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brian Denyeau. Thank you, Brian. You may begin.
Brian Denyeau: Good afternoon and welcome to Brightcove's fourth quarter 2020 earnings call. Today, we will discuss the results announced in our press release issued after market close. With me on the call are Jeff Ray, Brightcove's Chief Executive Officer; and Rob Noreck, Brightcove's Chief Financial Officer. During the call, we will make statements related to our business that may be considered forward-looking and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements concerning our financial guidance for the first fiscal quarter of 2021 and the full year 2021, expected profitability and positive free cash flow, our position to execute on our go-to-market and growth strategy, our ability to expand our leadership position, our ability to maintain and upsell existing customers as well as our ability to acquire new customers. Forward-looking statements may often be identified with words such as we expect, we anticipate, upcoming or similar indications of future expectations. These statements reflect our views only as of today and should not be reflected upon as representing our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations, including the effect of the COVID-19 pandemic on our business operations as well as the impact on general economic and financial market conditions. For discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our most recently filed annual report on Form 10-K and is updated by our other SEC filings. Also during the course of today's call, we will refer to certain non-GAAP financial measures. There is a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after market close today, which can be found on our website at www.brightcove.com. In terms of the agenda for today's call, Jeff will provide a summary review of our financial results and update on our operations and review of our strategy. Rob will finish with additional details regarding our fourth quarter 2020 results as well as our outlook for the first quarter and full year 2021. With that, let me turn the call over to Jeff.
Jeff Ray: Thanks, Brian, and thanks to all of you for joining today. I hope all of you and your families continue to remain healthy and safe. The fourth quarter was an excellent finish to a terrific year for Brightcove. We delivered the strongest fourth quarter bookings performance in the company's history, driven by continued momentum across all parts of the business. We are helping drive videos’ proliferation across global enterprises, enabling better engagement with employees, customers, and partners. We are also benefiting from the growing number of content creators, looking for ways to distribute and monetize their content at global scale. These trends are still in the early stages of adoption, which puts Brightcove in a great position to deliver strong, sustainable, and profitable growth for years to come. Turning briefly to our financial results. For the fourth quarter, we delivered revenue of $53.7 million, up 13% year-over-year and well ahead of our guidance. This represents our fastest organic growth rate since the third quarter of 2016. Adjusted EBITDA was $6.8 million, up 92% year-over-year, and also well ahead of our guidance. And free cash flow was $10.9 million, our strongest ever free cash flow quarter. And for the full year 2020, we delivered revenue of $197.4 million, up 7% year-over-year and adjusted EBITDA was $20.5 million, a 10% margin that more than doubled from 2019 and free cash flow was $12.6 million. Before looking at the quarter in detail, I would like to spend a moment reviewing some of the highlights from the full year. The pandemic has presented enterprises and content providers with numerous challenges and our team delivered. Some of these challenges included managing and engaging employees in an entirely virtual environment, finding new ways to develop and deepen customer relationships, transitioning in-person events to compelling virtual live event experiences, supporting rapid growth in streaming video content, as people stayed home and watched more than ever before. And adjusting to the profound disruption faced by our customers in live sports and those with ad supported models. Brightcove led the way as organizations around the world use the power of video to address these challenges and capitalize on major changes in the market. One example is how content providers leveraged Brightcove Beacon to quickly launch new OTT solution to take advantage of the massive shift towards watching long-form content on mobile devices. The growth in video reinforced that scale is one of the most important reasons customers choose Brightcove. We look at scale very differently than most of our competitors. They talk about scale of supporting tens or hundreds of thousands of viewers. At Brightcove, when you built a platform designed to scale to tens of millions of viewers, our customers tell us all the time that we are the only platform on the market that it's close to being capable of providing broadcast quality experiences with 99.95% playback up time. At the same time, customers also need sophisticated yet easy-to-use solutions like Brightcove Beacon and Brightcove Virtual Event Experiences to utilize video for very specific business needs. Our success with these products reinforced the growing number of ways to deploy video is a core part of business processes. The combination of a powerful platform and purpose built applications is unique and a key differentiator for Brightcove. Our discussions with customers have made it clear that the product innovations introduced over the past 18 months have significantly increased the value we deliver and Brightcove’s strategic importance. It's not just our customers who are recognizing the value of our technology. We were thrilled when Brightcove was recently recognized by the National Academy of Television Arts & Sciences with two Technology and Engineering Emmy Awards. Brightcove was the only online video platform to win. And we were recognized alongside some of the largest streaming companies in the world, including Netflix, Disney and Google. This is just the latest recognition of our product innovation. We have filed over 175 patent cases and have been awarded more than 85 patents globally, far more than our four closest competitors combined. One of our other major achievements in 2020 was the improved performance of our go-to-market team. We've made significant changes in investments across all aspects of our sales and marketing team to develop a repeatable, predictable, go-to-market motion. This delivered terrific results in 2020, and we believe that can generate even better performance in the future. One of the most exciting aspects of our performance in 2020 was our consistency. The fourth quarter was our third straight quarter of significant bookings growth with notable performances in North America and Japan and balanced contribution between new and existing customers. We also delivered on our goal of profitable growth with our second consecutive quarter of double-digit adjusted EBITDA margins. And as I mentioned earlier, Q4 was our fastest organic revenue growth period in years. This is the type of financial performance we expect to deliver on a consistent basis. I'd like to highlight a few of our exciting wins in the quarter. MMA Global Holdings recently launched a new mixed martial arts league to provide fans with studio-based MMA events to satisfy the exploding global demand for fights and combat sports content. And MMA Global signed a three-year Brightcove Beacon contract to deliver content to its viewers around the world. The OTT platform will be a subscription video-on-demand service for live streamed MMA content available on iOS, Android, and the Web. Rainbow Media Holdings has been a Brightcove customer for more than a decade. And we've built a strong relationship with the company while supporting its SVOD initiatives across multiple channels. Rainbow Media Holdings recently went through a rigorous RFP process to determine which video provider it would use to consolidate AMC Networks' tech stack, a channel that Brightcove did not previously support. We were selected to replace the incumbent. One of the world's largest cable providers due to our new innovations, including Cloud Playout, enhanced live capabilities, DRM, geoblocking, offline playback and monetization, among others. Other organizations taking advantage of the scale and reliability of the Brightcove platform include Ford Motor Company, Intel, SAP, Salesforce, and Meredith Corporation, among others. We also continue to have great success with live virtual events and are now considered an industry leader. Companies recognize that virtual events can dramatically increase their reach and allow for an ongoing customer relationship that is more engaging than a stand-alone one to two day live event. The past year has made it clear that a hybrid model will be the standard when the world begins to reopen and live gatherings return. Through significant events happening right now using Brightcove by the annual family reunion event, hosted by Keller Williams, the world's largest real estate technology franchise that is expected to have more than 50,000 attendees and the Australian Open, the first Grand Slam of 2021 that is hosted by our customer, Tennis Australia. One particularly notable recent event powered by the Brightcove platform was a live concert for a well-known Japanese music group that was streamed by millions of people. This was a highly publicized event that generated tens of millions of dollars in ticket revenue. We don't believe there is another platform in the world that can come close to supporting this kind of scale. An important part of our success in the quarter was the great momentum in our channel program. Partner bookings more than doubled year-over-year and represented nearly 20% of total bookings. We also signed more than 20 new partners, including a number of managed service providers that want to leverage the Brightcove platform as part of their solution offerings. From a product perspective, we recently introduced two notable capabilities that increase the value in stickiness of our platform. The first is Brightcove Cloud Playout, which solves the growing challenge customers face when they want to stitch together prerecorded and live content. Our drag and drop functionality allows customers to quickly and easily stitch together different types of video into a high quality broadcast like TV experience. When AMC learned about this capability, they decided to adopt it as quickly as possible. Cloud Playout was also one of the capabilities South by Southwest online was most excited about when they chose Brightcove. And the second is Brightcove’s pre-built integration into the Zoom app, now available in the Zoom marketplace. We received feedback from many customers that for certain events like a remote town hall, they need the scalability, reliability, and security of the Brightcove platform through the familiarity of the Zoom app. With this new integration, participants can now use the Zoom app to capture video and then broadcast to 100s of 1,000s of viewers on the Brightcove platform. We also further strengthened our management team with the addition of Jennifer Griffin Smith as Brightcove's new Chief Marketing Officer, focused on scaling our global go-to-market strategy, driving greater brand awareness with thought leadership and driving incremental pipeline growth. Jennifer has a 20-plus year track record of success working with technology innovators to bring solutions to market that drive customer adoption and advocacy, including most recently as the CMO of Alfresco Software and previously at CMO for Software AG, Avid Technology and Progress Software. While we accomplished much in 2020, we know the best is still to come for Brightcove. It's important to recognize how far we have already come in the past few years. In 2017, our combined revenue growth and adjusted EBITDA margin was barely above zero. In 2020, that increased to 17. We entered 2021 with a strategy proven to work and a market opportunity that has never been more attractive. Our focus in 2021 is to build upon the success and make significant progress towards our goal of being a Rule of 30 and ultimately a Rule of 40 company. There are three key initiatives that we are focused on this year. The first is to complete the process of building a best-in-class renewals business. Last summer, I told you that our top strategic priority was building renewals business that delivered retention rates in line with leading SaaS companies. I'm pleased to say that we have hired new leadership for our renewals business and implemented a new organizational structure that will drive better performance. As I've noted previously, it will take time for the impact of these changes to be apparent. So we expect investors will begin to see sustainable improvement in the second half of this year. The second is to continue investing in our partner channel. The launch of a formal channel partner program and Master License program was one of our biggest successes in 2020. We entered the year with no real channel to speak up, and by the fourth quarter it was an important growth contributor. In 2021, we are expanding this program to accommodate global reach, more partner types and additional technical support in marketing programs. We estimate partners can represent 30% to 50% of our business over the long-term. We believe a mature channel program is the most significant opportunity to accelerate growth and enhanced profitability for Brightcove. And the third is to leverage our data assets with machine learning. The breadth, depth and reach of our platform provides us with an incredibly rich dataset that we believe represents untapped potential. We have identified a number of ways to utilize machine learning to leverage our rich data to deliver greater value for our customers. By providing greater insight to content utilization and user and subscriber interests, we will enable our customers to fully maximize the benefits of video in their operations. We have an extensive innovation pipeline focused on machine learning that we will begin to introduce in 2021. I'll finish by saying this is an exciting time for Brightcove. 2020 was video's evolutionary moment and its importance to enterprises will only continue to grow. The hard work of everyone in this company in preparing us for this moment is paying off. Financially, our guidance represents a meaningful step towards our long-term targets. We believe we will generate significant shareholder value by continuing to successfully execute on our strategic plan. With that, let me turn the call over to Rob to walk you through the numbers. Rob?
Rob Noreck: Thank you, Jeff; and good afternoon, everyone. I will begin with the detailed review of our fourth quarter, and then I will finish with our outlook for the first quarter and the full year 2021. Total revenue in the fourth quarter was $53.7 million, which is well above our guidance range, breaking revenue down further subscription and support revenue is $50.7 million and professional services revenue was $3 million. Subscription and support revenue in the quarter, benefited from $1.2 million of non-recurring revenue related to a live event held in the quarter and strong overages of $2.3 million. 12 months backlog, which we define as the aggregate amount of committed subscription revenue related to future performance obligations in the next 12 months was $114.7 million, this represents a 14% year-over-year increase. On a geographic basis, we generated 54% of our revenue in North America during the quarter and 46% internationally. Breaking down international revenue a little more, Europe generated 16% of our revenue and Japan and Asia Pacific generated 29% of revenue during the quarter. Let me now turn to the supplemental metrics we share on a quarterly basis. Our recurring dollar retention rate in the fourth quarter was 91%, which was in our target range of low to mid-90s. We still have more work to do to build a consistent renewals business. As Jeff mentioned, this is a key strategic priority for us in an area we are investing significant resources. We have implemented the operational changes required, but this metric may potentially be below our target rate in the first half of the year before we feel the full impact of the changes we are making in the second half of 2021. Our customer count at the end of the fourth quarter was 3,330, of which 2,279 were classified as premium customers. Looking at our ARPU within our premium customer base, our annualized revenue for premium customer was $97,000, which was up 17% year-over-year and excludes our entry-level pricing for starter customers, which averaged $4,400 in annualized revenue. Looking at our results on a GAAP basis, our gross profit was $34.2 million, operating income was $1.6 million and net income per share was $0.05 for the quarter. Turning to our non-GAAP results, our non-GAAP gross profit in the fourth quarter was $34.8 million, compared to $29.7 million in a year ago period and represented a gross margin of 65%. We are pleased with the improvement in gross margin in the second half of the year, which reflects better cost efficiencies, improved revenue performance and the diversification of our business in the less video delivery intensive use cases. Subscription and support revenue represented approximately 94% of our total revenue and generated a 68% gross margin in the quarter compared to a 64% gross margin in the fourth quarter of 2019. Non-GAAP income from operations was $5.4 million in the fourth quarter compared to $2.2 million in the fourth quarter of 2019. Adjusted EBITDA was $6.8 million in the fourth quarter, compared to $3.5 million in the year ago period and above the high end of our guidance range for the quarter. Adjusted EBITDA margin was 13% in the quarter, an all time high and up more than 500 basis points year-over-year. Our profitability performance in the fourth quarter and for the full year or important demonstration of the scalability of our business model. Our combination of cost discipline and targeted investment in our growth initiatives positions as well to generate continued margin expansion going forward. Non-GAAP net income per share was $0.14 based on 41.6 million weighted-average shares outstanding. This compares to net income per share of $0.06 on 39.7 million weighted-average shares outstanding in a year ago period. Looking at our full year 2020 results, total revenue was $197.4 million, up 7% year-over-year. On a GAAP basis, gross profit was $121.3 million, operating loss was $5.3 million and loss per share was $0.15 based on 39.5 million weighted-average shares outstanding. On a non-GAAP basis, gross profit was $123.7 million, income from operations was $15.2 million, adjusted EBITDA was $20.5 million and net income per share was $0.36 based on 40.4 million weighted-average shares outstanding. Turning to the balance sheet and cash flow. We ended the quarter with cash and cash equivalents of $37.5 million. During the quarter, we paid down the remaining $5 million that had been outstanding on a $30 million revolving credit facility. We generated $12.4 million in cash flow from operations and free cash flow was $10.9 million after taking into account $1.5 million in capital expenditures and capitalize internal use software. This is the best quarterly cash flow performance in our history. I would like to finish by providing our guidance for the first quarter and full year 2021. As Jeff indicated, we entered 2021 with great momentum in our business. We are generating significant sales growth driven by the strength of our product portfolio and go-to-market team and the increased strategic importance of video and enterprises. We expect to have another strong sales here in 2021, so we remain mindful of the potential impact the continued uncertainty in the macroenvironment may have on customer spending and have incorporated that into our outlook. Our growth expectations for 2021 also reflects a meaningful churn that we expect to occur in the first half of the year. This is related to several legacy customers that are moving to do it yourself solutions. Altogether, these customers represent approximately $3.1 million of subscription revenue that is expected to come out of our run rate by June 30. As we have mentioned, building a strong renewals business is a key priority this year and we are confident the leadership and processes we have put in place will be successful. For the first quarter, we are targeting revenue of $53 million to $54 million, including $1.5 million of overages and approximately $3.7 million of professional services revenue. From a profitability perspective, we expect non-GAAP operating income to be $4 million to $5 million and adjusted EBITDA to be between $5.4 million and $6.4 million. Non-GAAP net income per share is expected to be in the range of $0.09 to $0.11, based on 41.9 million weighted-average shares outstanding. Please keep in mind as you look at our sequential expectations for the first quarter, that there is $1.9 million of revenue recognized in the fourth quarter, that is not in our run rates for the first quarter. For the full year, we are targeting revenue of $211 million to $217 million, including $6 million of overages and approximately $12.5 million of professional services revenue. From a profitability perspective, we expect non-GAAP operating income of $20 million to $25 million and adjusted EBITDA to be between $25.5 million and $30.5 million. Non-GAAP net income per share is expected to be in the range of $0.44 to $0.56, based on 42.2 million weighted-average shares outstanding. Our adjusted EBITDA guidance reflects the third consecutive year of annual growth. For the full year we are now targeting free cash flow of $17.5 million to $22.5 million. To summarize, we had an excellent fourth quarter, we continue to execute very well through the challenging economic environment. I believe we are well-positioned to build upon our recent successes to generate faster more profitable growth. With that, we'll now take your questions. Operator, we are ready to begin Q&A.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Mike Latimore with Northland Capital Markets. Please proceed with your question.
Mike Latimore: Great. Thanks. Yes, and congrats on the great execution this year.
Jeff Ray: Thanks Mike.
Rob Noreck: Thanks Mike.
Mike Latimore: Yes. I apologize if I missed this, but did you comment on fourth quarter bookings? How that came in relative to we had in the last couple of quarters?
Rob Noreck: Yes, we did. As Jeff mentioned, it was our strongest fourth quarter ever.
Mike Latimore: Okay. And how much did kind of virtual live events contribute to the bookings?
Rob Noreck: Yes, we don't really break it out on a product-by-product basis, but we had a good mix of virtual events, our Beacon products and then our legacy products with Video Cloud.
Mike Latimore: Okay, great. And then as you think about growth this year, can you give any color on the relative contribution of say ARPU growth versus new customer adds? Any – is it going to skew one way or another here?
Rob Noreck: Yes, we're not really optimizing for the customer account growth. So I think it's going to be a good combination of both as we head through the year, particularly in the back half of the year as we start seeing the benefits of our renewals business improvement
Mike Latimore: Got it. And then, I guess lastly you've mentioned that the channel started to make a solid contribution, I believe, I guess, can you give more color on channel contribution report?
Rob Noreck: Yes, as we talked about on the call, it was about 20% of the bookings in the fourth quarter. And as we go forward, we're trying to get that into the 30% to 50% range in the future. We believe there is real opportunity with the channel to grow the business, and reach markets that we might otherwise not with our direct sales force.
Mike Latimore: Okay, great. I guess just lastly, largest customer is still about 2%.
Rob Noreck: Yes, that’s right.
Mike Latimore: Okay, great. Thanks. Good luck this year.
Rob Noreck: Thanks.
Jeff Ray: Thanks, Mike.
Operator: Thank you. Our next question comes from Steven Frankel with Colliers. Please proceed with your questions.
Steven Frankel: Hi, good afternoon and congratulations on – a great way to finish the year. Obviously, retention rate was surprisingly strong in the quarter after the cautious language you’d given the last couple of quarters. Could you give us some insight as to whether that was driven by some big upsells or what's the dynamic there that led to the outperformance? Or is it just a timing issue when the things you were worried about are now happening in Q2 and not in Q4?
Jeff Ray: Yes, with some timings and just some mix and the ability of the team to upsell. But as I’ve said, I'm not going to feel good about the predictability and the consistency of our renewals until we get into the second half of this year. That's what I believe we will have this under control.
Steven Frankel: Okay. And then a big step up in ARPU, which was another thing that pops out in the quarter, is that driven by a couple of large deals in particular? Or is that just the way the team is executing now that these engagements are more meaningful than they were six months or nine months ago?
Rob Noreck: Yes, Steve, that's really driven by one large deal in the quarter, in the script, we talked about the $1.2 million of revenue in the quarter from a live event and that's really what's pulling that ARPU up.
Steven Frankel: Okay. And then you the Rule of 30, is that something you still desire to do by that March deadline that you have, or do you think it takes you longer to get there?
Jeff Ray: It's a – absolutely it's our goal, I don't believe that we deserve the right to say we're a high-performing SaaS company until we cross that, and then pursue the next target. I'm not going to put a date on it, but as I've said all along we're treating that with the greatest level of urgency. We pay attention to it when we put our business planning together and our investment strategy with an eye towards, as we've said over and over again, profitable growth. We believe that we can solidly grow the top line and we can do it in a very profitable way by presenting solutions for which customers see the value and will pay a premium. It is now starting to pay off and we're not going to turn back.
Steven Frankel: Great. You're executing really well. And then do you see any meaningful change in your mix between media and enterprise customers as we go through this year and into next year? Or are you indifferent as to where the customer comes from?
Jeff Ray: Well, I don't – I wouldn't call it indifferent. I love all our customers. And there's awesome opportunity in media, as well as in enterprise. The power of media and I think sometimes it gets a bad rap because there is a move in giant media to do more DIY, we've been living with that, and we're not out of the woods yet, but the power of media is they demand broadcast quality. And so as a result, it's in the DNA of the technology stack. It's how engineering and product define the core attributes of new features and functionality that we're going to deliver. We're going to deliver almost 200 new features and functions this year. That's what the product roadmap says. And over and over again, everything is done with a goal towards high performance, scalability while still protecting privacy and protecting our customer's IP. So we love both aspects of the business and the unique demands from both sets of customers.
Steven Frankel: Great. Thank you.
Jeff Ray: Thank you.
Operator: Thank you. Our next question comes from Eric Martinuzzi with Lake Street Capital Markets. Please proceed with your question.
Eric Martinuzzi: Hi, congrats on the quarter as well. Had a question about your outlook for the pro services revenue. I've been modeling that at about $10 million a year and it looks like at least for Q1, we've got $3.7 million and then you're looking at $12.5 million for the year. Wondering if you could give me a little bit more detail on what's going on with pro services.
Rob Noreck: Yes, so two things. In the first quarter, it’s really related to one large deal that we closed, that's going to be delivered this quarter. And then as you think about professional services on a go-forward basis while it's not the core component of what we do. We are a SaaS business, but we do believe that professional services allows us the opportunity to get into the customers, know the customers and become stickier with the customer. So I expect it to increase a little bit as we grow the overall business.
Eric Martinuzzi: Okay. Okay. And then go into the gross margins. Curious to know if there's any change there, I think historically you've talked about, kind of shooting for a 10% on the pro services, and then I think it was 66 or a little higher on the Software-as-a-Services. What are you thinking about for the year on gross margins?
Rob Noreck: Yes. So on the professional services side, we're thinking low to mid-teens from a margin standpoint. As we've talked about, that is an area that when Jeff and I started wasn't being run profitably, we are going to continue to run that profitably, but we don't see it as a huge margin driver, as I talked about our purpose with professional services, getting into the customer and make them sticky. From the subscription side, as you saw, we are closer to 68 this quarter, that's going to be volatile, as we go through the year. As you can imagine, some of our COGS are on the usage base side, depending on how the customers leverage the platform may skew that a point or two here or there. So we do expect that to stay in above that 65 range, but it's going to be a little volatile as we go through the year.
Eric Martinuzzi: Got it. Thanks for taking my questions.
Rob Noreck: Thanks Eric.
Jeff Ray: Thanks Eric.
Operator: There are no further questions at this time. I would like to turn the floor back over to Jeff Ray for any closing comments.
Jeff Ray: Thank you, Paul. And thank you everyone for your support in us and belief in us. It really came together in the fourth quarter. We carry that momentum forward. I also want to just stress that no one inside this company is complacent or feels like now we have achieved success and we can relax and cruise. If anything, this is a stronger call to action. So you're going to see that our focus on doing things with even greater urgency. I appreciate your support and we are very excited about the New Year. As always, we ask you to continue to stay safe and stay healthy as we get through this pandemic together. Thank you all. Goodbye.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful evening.